Operator: Good day and welcome to the Q3 2018 Huntsman Corporation Earnings Conference Call, hosted by Ivan Marcuse. My name is Debra and I'm your event manager. During the presentation, your lines remain on listen-only. I would like to advise all parties that the conference is being recorded for replay purposes. And now I'll hand over to Ivan. Thank you, Ivan. Please go ahead.
Ivan M. Marcuse - Huntsman Corp.: Thank you, Debra, and good morning, everyone. I am Ivan Marcuse, Huntsman Corporation's Vice President of Investor Relations. Welcome to Huntsman's third quarter 2018 earnings call. Joining us on the call are Peter Huntsman, Chairman, President and CEO; Sean Douglas, Executive Vice President and CFO; and Tony Hankins, President of our Polyurethanes. This morning before the market opened we released our earnings for the third quarter 2018 via press release and posted it to our website, huntsman.com. We also posted a set of slides on our website, which we will use on the call this morning while presenting our results. During this call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements and while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the SEC for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. We will also refer to non-GAAP financial measures such as adjusted EBITDA, adjusted net income, or loss and free cash flow. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release which has been posted to our website, huntsman.com. In our earnings release this morning, we reported third quarter 2018 revenue of $2.4 billion, adjusted EBITDA of $374 million, and adjusted earnings of $0.84 per diluted share. I will now turn the call over to Peter Huntsman, Chairman, President and CEO.
Peter R. Huntsman - Huntsman Corp.: Thank you, Ivan. Good morning, everyone. Thank you for taking the time to join us this morning. Let's turn to slide number 3. Adjusted EBITDA for our Polyurethanes division for the third quarter was $247 million versus $245 million of a year ago. Our MDI Urethanes business which includes our MDI, polyols, propylene oxide, and formulated systems business recorded adjusted EBITDA of $242 million. This compares with $254 million of a year ago, $246 million for the previous quarter. It is important to emphasis that our MDI Urethanes EBITDA is down just 5% versus the prior year. I would remind you that earlier this year, we pointed out that we had a $40 million, what we referred to at the time, as a short-term spike in margins in the third quarter of last year. We stated at the time that this was expected to last until the middle of 2018. We estimate that perhaps $15 million of this spike is remaining in Q3 of this year. We do not expect any of these spike margins in the fourth quarter. As we compare the state of our third quarter Urethanes performance to a year ago, we have absorbed $25 million less in short-term spike margins. We've absorbed an additional estimated $20 million impact by an unplanned outage at our Rotterdam, Netherlands MDI facility that was initiated by a third-party supplier. This outage was operationally fully recovered in the quarter. We absorbed about $40 million of feedstock price increases and we benefited by about $20 million from the operation of our recent expansion of our China facility. In other words, for comparison purposes, the Rotterdam outage was offset by our added volumes in China. The net decrease in EBITDA year-over-year is this consequence of the absorbed loss of spike margins. Our downstream margins remained flat and unaffected as we were able to recoup our raw material price increases. This is strong evidence of our unique downstream business and the strength and resilience of our customer base. Our component MDI grew 9% year-over-year due to increasing capacity at our China facility. This plant is fully capable of running at full capacity and we will be bringing supply into the market as demand dictates. Let's turn to slide number 4. Fully consistent with our longstanding strategy, we continue to see solid growth in our downstream differentiated and formulated businesses. In the third quarter, we saw 6% year-over-year growth in volumes within our differentiated systems business. Let me remind you that, for the first time, we now have a year-over-year comparison for the Rotterdam debottleneck expansion that came online within the third quarter of last year. Earlier this year, we completed the acquisition of Demilec, a downstream Urethanes spray foam manufacturer in the high-growth end market. Pro forma for the unplanned third quarter Rotterdam outage and the acquisition of Demilec, our differentiated downstream business grew a healthy 12% year-over-year. Looking at Polyurethanes regionally, our America's volumes increased 17%. Our recent acquisition of Demilec added about 6% to our Americas volumes. Volumes in this region were primarily driven by our composite wood products, insulation and elastomer section. With the start-up of our new Chinese MDI capacity, we are shipping less MDI from the U.S. to Asia, helping to feed our growing North American customer base. While we are seeing some softer order patterns in insulation versus the prior year, we expect that this region, overall, will continue to see growth. Margins in North America were stable. The start-up of our China expansion has fueled solid growth in Asia. This region continues to benefit from insulation growth into large scale infrastructure projects, such as district-central heating and new applications. The adhesive coatings and elastomers and footwear markets in the region also continue to be significant contributors to our growth. Our MDI systems into automotive also increased 7% driven by high-end automotive and continued trends around substitutions. We have recently seen some destocking in the supply chain in our China region, largely driven by the knock-on effects from uncertainty around trade and some general softness in the Chinese economy. Our downstream margins in China were stable. Solely due to the temporary and now resolved production issues in Rotterdam, we were capacity constrained in Europe and experienced a negative variation in volumes over last year. Absent the production issues in Europe, we would have seen a modest growth in the region. Similar to China, within certain product markets such as insulation, we are currently seeing customers taking a more cautious approach to inventory management by destocking. Our downstream margins in Europe were stable. Over the past year, we have been transparent in pointing out what we believe is a short-term spike in commodity component MDI prices impacting a subset of our business in Asia and Europe. As was anticipated and shared with you in our prior quarterly earnings calls, we saw these spike margins decline in both Asia and Europe. As compared to the third quarter a year ago, we believe that EBITDA was impacted by approximately $25 million as a result of this. As we sit here today in the fourth quarter, we believe that the short-term spike margins are fully eliminated. As shown in the upper half of slide 4, the fall in our Chinese and to a lesser extent, our European component MDI pricing is something we've been telling the market now for about a year. Let me remind you that our global exposure to component pricing is contained to less than 30%, given our core downstream differentiated strategy. Overall, Asia component volumes make up about 9% of our total global MDI volume. Let's turn to slide No. 5. Because of our many years of focusing on and growing our unique downstream differentiated and formulated systems business, our core base differentiated businesses remained stable. The graph lines reflect the margins experienced by region within our component in differentiated urethane portfolios. A significant majority of our business is downstream and has not been impacted by the short-term spike in margin. Notice the difference between the blue and the red lines. Looking forward over the short term, given our recent expansion of our Chinese facility, we will be exposed a bit more to the component market in China. We will transition this volume over time as we're focused on expanding our Chinese business downstream, as we have done in Europe and in the Americas. Regarding our China expansion, we intentionally outfitted our MDI splitter in such a way as to maximize the output of downstream – for downstream growth. This will prove to be a benefit as we transition our business in China further downstream. At the present time, we have 365,000 kilotons of Chinese crude MDI capacity, and nearly 400,000 kilotons of MDI splitter capacity. In other words, we have in place today the ability to derivatize our MDI in China similar to Europe and North America and will do so as markets continue to develop. Longer term, we will see less Asian commodity polymeric sales as our downstream Asian markets continue to grow. Since our last call, we've not seen a change in the strong long-term fundamentals of the MDI market. While there has been a recent announcement by another party to construct a world scale site in North America by 2024, this does not materially change the tight long-term fundamentals of the MDI industry. Over the long term, we expect industry capacity utilization rates to remain balanced. As new planned supply enters the market from time to time, industry utilization rates may ebb and flow over the short term, depending further on the rate of global demand and any unplanned possible supply disruptions. Our outlook for average annual global demand growth has not changed as we anticipate future growth at about 6% over the coming years. This demand growth translates into roughly 400,000 kilotons annually, which is the equivalency of a new world scale plant each year. Even assuming all the de-bottlenecks, brownfield capacity additions that have been announced to-date come on exactly on time and at full capacity, something that's never happened, by the way, we believe that capacity will be growing at about 5% through 2022. Therefore, long-term supply – industry supply/demand dynamics should remain snug as we have good visibility and do not see greenfield capacity entering the market for many years to come. Irrespective of this favorable long-term view, the more downstream we move, the less relevant these fundamentals are to our unique integrated portfolio. Our downstream footprint is unique in that we have 29 downstream facilities, located in 20 different countries. In addition to organic growth in our downstream footprint, our portfolio continues to be bolstered by the myriad of attractive bolt-on acquisitions we have made over the years. We have been successful in commercially and geographically scaling up these acquisitions to achieve enhanced synergy results in meaningful growth and value creation. In total, the past 11 completed acquisitions currently count for approximately 20% of our Urethanes LTM total EBITDA, which is approximately double the amount that these acquisitions contributed just two years ago in 2016. We're able to grow these businesses substantially by achieving synergies through MDI pull-through, but also and more importantly by leveraging our global platform to take new technologies into different markets, globalizing the businesses. Looking forward to the fourth quarter, we expect the typical seasonality that we see in this business, likely exaggerated a bit, given that we are currently seeing customers throughout the supply chain de-stock and be more cautious, given the backdrop around global trade and the softer picture of growth in China. This will likely offset the incremental benefits of our new China expansion in the fourth quarter. We would expect the fourth quarter for MDI Urethanes to be modestly less than the prior year after adjusting for the $85 million benefit from the spike margins. Lastly, our MTBE business improved versus last year and reported EBITDA of $5 million versus an EBITDA loss of $9 million a year ago. Heading into a seasonally softer quarter, we currently expect MTBE to be about breakeven this next quarter. We do expect margins in our downstream Urethanes businesses to remain stable. Let's turn to slide number 6. The Performance Products segments reported EBITDA of $93 million, which is well above last year's EBITDA of $63 million when this business was negatively impacted by approximately $35 million due to Hurricane Harvey. We experienced solid EBITDA growth year-over-year in our amines and maleic businesses. Despite this growth, Performance Products fell short of expectations in part due to a spike in ethane costs. This segment remains on track to show substantial growth this year. The key markets that we highlighted at our recent Investor Day, such as gas treating, oilfield chemicals and high performance lubricants continue to be solid contributors to growth, which we expect to continue for the foreseeable future. We remain focused on moving our downstream derivatives into more differentiated businesses and applications. The fourth quarter tends to be a seasonally weaker quarter. We are still expecting year-on-year improvements in our amines and maleic anhydride and steady performance in our surfactants. This will be offset by lower upstream margin due to ethane costs. We would expect results to be similar to last year's fourth quarter when excluding certain one-time events that impacted this business last year by approximately $27 million. Let's turn to slide number 7. Our Advanced Materials business reported adjusted EBITDA of $56 million in line with last year's EBITDA as we invested in next-generation technology to drive future growth. Our specialty volumes increased by 2% versus prior year, despite some weakness in electronics, largely driven by a slowdown in the Chinese auto market. This business has sustained and recouped approximately $20 million of raw material cost increases year-to-date over the prior-year period. We continue to successfully implement price increases to offset raw materials that remain a headwind for this business. The continued expansion in volumes in our specialty business has largely come from growth in aerospace, DIY and industrial adhesives as well as our coatings and construction business. This consistent specialty growth is being driven by the continued investment we're making in technology to add effects to our portfolio and offer medium and long-term opportunities to expand into new markets with new and existing customers. Light weighting, energy efficiency and material substitution trends will remain long-term drivers of growth for this segment. We are seeing softer order patterns from some customers specifically in China in automotive markets. We believe these customers may be adjusting inventory in reaction to lower end use demand and uncertainties around trade. These softer order patterns will likely add to the seasonality that this business typically sees in the fourth quarter. Taking this into account we expect our fourth quarter EBITDA to be similar to last year's. I expect our full year EBITDA to be stronger than ever in this business group. Let's turn to slide number 8. Our Textile Effects division reported EBITDA of $25 million, up 32% versus the prior year. This is a very solid EBITDA growth in spite of an overall decline in volume of 4% year-over-year. This is the first time in 10 straight quarters that we have seen overall volumes decline. Total volumes declined primarily due to a deselection of some non-differentiated business, raw materials constraint in China due to ongoing regulatory enforcement, and some slower customer order patterns in certain regions and markets. The business remains focused on growing its more specialty products, which were up 9% in the third quarter versus the prior year and 10% for the year-to-date period. Long-term macro trends remain intact relating to increased environmental and sustainability standards in both chemicals and dyes. The continued move downstream in our specialty and differentiated portfolio has enabled this business to price competitively and offset the significant increase in raw material costs experienced this year. The improved EBITDA in the quarter versus the prior year marks the 12th straight quarter of improvement and keeps it firmly on pace to achieve its 2020 goals. We continue to see steady margin growth in this business despite some softer overall demand in the higher raw material costs. We expect our fourth quarter EBITDA to be similar to the prior year. Before sharing some concluding thoughts, I'd like to turn a few minutes over to Sean Douglas, Our Chief Financial Officer.
Sean Douglas - Huntsman Corp.: Thank you, Peter. Turning now to slide 9. In summary, EBITDA year-over-year increased by $34 million. The benefit of approximately $50 million of not experiencing a repeat of Hurricane Harvey was essentially offset by the anticipated reduction in MDI spike margins of $25 million and impact of certain outages of approximately $25 million. Taking the net effect of this into consideration, our core EBITDA grew by $34 million or 10% year-over-year. The volume expansion in China along with additional volume growth contributed about $40 million. Variable margins improved just under $25 million. This is in spite of over $120 million of direct cost increases year-over-year. Versus the prior year third quarter, MDI Urethanes faced higher direct costs of about $40 million. Advanced Materials of approximately $12 million, and Textile Effects of about $5 million. Performance Products saw higher butane and ethane costs of approximately $15 million. I wish to emphasize that downstream margins representing the lion's share of our business were stable. Fixed costs year-over-year are higher in the third quarter, which includes the fixed cost of our China expansion and recent bolt-on acquisitions. The impact of currency year-over-year is minimal. Turning to slide 10. We continue to generate strong free cash flow consistently. Our free cash flow for the third quarter was $226 million, roughly the same as for the prior-year quarter. We continue to manage our working capital efficiently. While our overall working capital metrics for the third quarter were similar to the prior year, we did see an increase in working capital of approximately $86 million. This is largely the result of higher inventory and receivable values, resulting from higher raw material costs and higher selling prices. For the last 12-month period, our free cash flow conversion was approximately 42%. As previously shared, we expect free cash flow for the full year 2018 to be between $550 million and $625 million. We also expect our future annual free cash flow to continue to approximate or exceed 40% of adjusted EBITDA. We ended the quarter with net leverage of 1.3 times. I believe this is the lowest level in Huntsman's history. We remain committed to being an investment-grade company. We expect to spend between $300 million and $320 million in capital expenditures for 2018. The fourth quarter is traditionally our highest CapEx spend of the year. As we shared on prior earnings calls, the category of maintenance and other can be lumpy quarter-to-quarter, due to timing of various accruals and maintenance projects. For the full year 2018, we are still expecting that, for this category, there will be a meaningful use of cash as compared to the prior year benefit. This is primarily due to higher spending on multi-year turnarounds occurring in 2018. Our third quarter adjusted effective tax rate was 20%. We expect that our 2018 adjusted effective tax rate will be between 19% and 21%. And that our long-term adjusted effective tax rate will be approximately between 23% and 25%. As discussed in the prior quarter earnings call, the long-term rate includes the extra few percentage points of book taxes we will realize effective 2019 as a result of a portion of certain valuation allowances that we released in the prior quarter. During the quarter, we repurchased $37 million of shares at an average price of $29.67. To-date, we have repurchased $175 million of shares or 5.9 million shares under our $1 billion multi-year share repurchase authorization. We were limited in the third quarter from repurchasing more shares given a winding-up of a 10b5 plan and being subject to blackout. We intend to continue repurchasing shares opportunistically and in a prudent manner under our board-authorized program. We continue to hold our 53% interest in Venator as held for sale on our balance sheet. We have been actively marketing this holding. During the third quarter, we impaired the value of our holding in Venator and we recognized a net after-tax valuation allowance of $270 million to adjust the carrying amounts of assets and liabilities held for sale and the amount of cumulative other comprehensive income recorded in equity related to Venator. The impact of this valuation allowance is reflected in discontinued operations. In conclusion, of my part, our portfolio of businesses demonstrated a solid performance in the third quarter, showing strong growth in EBITDA of 10%. Our LTM EBITDA margin is 17%, our LTM free cash flow conversion is 42% and our net leverage is 1.3 times. We remain focused on what we can control and delivering on the 2020 targets we shared with you at our May 2018 Investor Day. Peter, back to you.
Peter R. Huntsman - Huntsman Corp.: Thanks, Sean. Let's turn to slide number 11. In summary, our company continues to expand our downstream business and meet our growth, EBITDA, and free cash flow targets. In spite of a few unplanned hiccups experienced in the third quarter on a pro forma basis, we reported a solid EBITDA growth year-over-year of 10%. Our strategy to continually improve our businesses downstream, most importantly and notably, in our Polyurethanes business is working and taking the volatility out of our earnings. We continue to demonstrate the resiliency of our unique Urethanes downstream differentiated portfolio in the midst of volatile prices and the more commodity end of component MDI products. Our overall core differentiated business is showing stability and consistent growth, we're on target to deliver on our 2020 goals as shared in our Investor Day presentations. This downstream focus has also shown improvements in our Advanced Materials divisions where we are on course to have a record year. We're also on track to have solid gains over the previous year in our amines, maleic anhydride, surfactants and Textile Effects. We understand that there are uncertainties around global trade and some slowing trends in certain regions that are causing volatility in the market. No one knows for certain what the macroeconomic environment may or may not produce in the quarters ahead. However, I remain optimistic about the long-term fundamentals for global growth. We remain focused on what we can control. We've been specifically transparent around our Urethanes business especially given this recent year's extra tight industry dynamics. We have tried to provide you with directional guidance the best we can. I don't share the negative views of a few analysts and pundits regarding a bleak long-term outlook of MDI. And I deeply feel that the market still does not adequately understand the unique nature of our more downstream Urethanes portfolio. Sure, our business will be impacted to some degree by global slowdown in market demand and in the face of a negative macroeconomic force, however, we believe that we have never been in a better position to weather an economic slowdown if and when it were to happen. Our balance sheet has never been stronger. Our cash flow continues to be robust which puts us in a position to take advantage of opportunities that may arise to further grow our business while we also are being opportunistic in our share buy-back program. During this past quarter, we purchased 1.3 million shares for $37 million. This amount was much lower than I would have liked to see, due to us being blacked out for much of the quarter. Reasons for the blackout include our own discussions with multiple parties regarding the potential sale of our shares in Venator. We continue to explore all options for monetizing our Venator shares and are actively marketing our current stake. We will update the market when and if there's something new to announce. As Sean pointed out, we remain solidly within investment grade credit metrics. We can't control the timing or the extent of rating agency's actions. Instead, we focus on what we can control and are committed to maintaining an investment grade portfolio. Over the years, I have refrained from ever commenting on our share price. However, as I look at the remainder of the year, we're on track to being within 1% of $1.5 billion of EBITDA, by far our best performance ever. We remain on track to generate about 40% free cash flow to EBITDA. We're successfully bringing on new MDI capacity and expanding our downstream volumes and margins. We remain highly confident in our 2020 targets that we laid out at our Investor Day this past May. We will remain focused within reason, on monetizing our position in Venator, and when realized intend to dedicate a meaningful portion of those proceeds to our share repurchase program. Absent a lasting change in macroeconomic conditions, we remain on pace to achieve our 2020 EBITDA target of greater than $1.6 billion. Our expectations of generating more than $1.7 billion in free cash flow is also unchanged and on target. Our free cash flow will be used in a balanced and prudent way to create shareholder value through our share repurchase program, supporting a competitive dividend yield, as well as growing our business, both organically and through sensible acquisitions. Given where we are, the changes over the past few years and where we are going, I see a massive disconnect between our performance and our share price. Our company has never been in a better position to create shareholder value. As we now transition into our Q&A suggestion I'd ask Mr. Tony Hankins to join us. Tony is the Chief Executive Officer of our Asian business, as well as President of our Polyurethanes division. Given the industry focus on both Asia and our Polyurethane business, Tony will be able to contribute some of his insight and views during the Q&A. Operator, will you explain the procedures for Q&A then open the lines for any questions?
Operator: Certainly. Thank you. The first one does come from Kevin McCarthy from Vertical Research Partners. Thank you, Kevin. You're live in the call.
Kevin W. McCarthy - Vertical Research Partners LLC: Yes, good morning. A few questions on the Polyurethane segment. First, you indicated on slide 3 that local price declined 2% on a quarter-to-quarter basis. Just wondering if you could comment on what the breakdown might be in terms of component pricing versus your differentiated systems and in particular, whether the latter changed appreciably?
Sean Douglas - Huntsman Corp.: Kevin, good morning. Let me try to answer that question. Our component businesses in China declined – the component price (33:50) declined 25%. And in Europe, it was around 10% or 15%. But on our differentiated downstream businesses, those margins have been strong and stable. We haven't seen any weakening in those areas of our business. They remain very resilient to the current slowdown in some areas of the market.
Kevin W. McCarthy - Vertical Research Partners LLC: Great. And then second question, Peter, would you comment on where we stand with Venator? I heard you reference the valuation allowance and efforts to dispose of that stake. Perhaps you could provide a little bit more color around the strategic thinking there? And from an accounting point of view, if you do not enter into a transaction, how long can you maintain the current accounting from an income statement and balance sheet perspective or can that continue indefinitely?
Peter R. Huntsman - Huntsman Corp.: Well, it cannot continue indefinitely. And I'll let Sean comment on that. But I would just say in the meantime, that we have been in active negotiations. We continue to be in active negotiations and we consider that this notice to the market, that the market now knows as much as we know about what we are doing. Should we get to a point where we are – advance to the point where the window is closed, if you will, and we can no longer buy shares, we'll proceed up to that point. But at this point, we continue to be in discussions with multiple parties. And as we've said all along, it is the intention of Huntsman to be able to sell our shares in Venator at a time, when it – of our choosing when it makes sense.
Kevin W. McCarthy - Vertical Research Partners LLC: Thank you very much.
Sean Douglas - Huntsman Corp.: Kevin, I'll just add to that that certainly we're in compliance with the accounting rules to be able to keep that on the balance sheet as a held for sale at the moment. And clearly, part of that is we are currently actively marketing that piece for a reasonable price. And should that ever change and we not be successful there, just remind you that to deconsolidate that entity would only require a disposition of 4%.
Kevin W. McCarthy - Vertical Research Partners LLC: Understood. I appreciate the color there.
Operator: Okay. Thank you. And the next one is from Laurence Alexander from Jefferies. Thank you, Laurence, you're live in the call.
Laurence Alexander - Jefferies LLC: Good morning. I guess, two questions. First, can you characterize – I mean, you were talking a few times about destocking. Can you characterize the severity of destocking that you're seeing? And maybe just sort of put it in perspective as to how – whether you've had indication from customers about timing of when this might end or when things might rebalance in early next year?
Peter R. Huntsman - Huntsman Corp.: Kevin, yeah, this is Peter. Let me try and take this on a macro basis. And, Tony, if you have anything to add from a Polyurethanes basis. We need to remember that when we talk about what I would call the supply chain dislocation, we are seeing products in China in particular that are being hit possibly with tariffs here starting at the first of the year. Take something like appliances or furniture, where we are seeing manufacturing move from China to other regions of the world, or even into North America. And so we're seeing a disruption, if you will, in the inventory build that typically would be in certain regions. And I say this because it's not just in Polyurethanes. We're also seeing it in Performance Products and other areas. And I think that the market perhaps might be missing a little bit as to just how much of a supply chain disruption or dislocation there is that's going on. And it's not that we're necessarily buying fewer appliances in North America or furniture in North America. It's where is it coming from? Who are the suppliers and where's it being manufactured? So just because of the tariffs and the nature of that I think that you're going to see some inventory decrease in China. Let's not read that into the world is coming to an end. Because at the same time, we're also seeing some strengthening taking place in certain other areas. I'd say North America – as we look at some of the furniture, footwear, spray foam, some of what we're seeing in North America is directly affecting some what we're seeing in Europe in ACE in footwear and so forth. Some of the high end automobiles and so forth, they're actually increasing in the face of some of the decreases that we're seeing in Asia. So I hope that we're not reading too much when we talk about a specific region of the world. I think we're seeing more of a dislocation perhaps than we would be used to. Tony, anything in PU you'd want to add there?
Anthony P. Hankins - Huntsman Corp.: Yeah, thank you, Peter. Laurence, good morning. I think the destocking has been most pronounced in China. And it's been in those areas of the market that are most exposed to tariffs. Things like footwear for example where customers are waiting to see whether the 25% tariff will come in at the end of the year knowing that if they ship now, they're going to be getting on the wrong end of that time scale. But some of that is starting to be offshored, and we've recently opened a new facility in Vietnam, for example. So I think that if the tariff was to get more severe, we're well positioned to capture that business as it moves to other manufacturing locations in Asia. And if I look at our automotive business in China, that's been very strong. We've been continuing to see double-digit growth into the high end of automotive in China. And I haven't seen any destocking at all in that segment of the market. So it seems to be very focused on those areas most exposed to tariffs going forward.
Laurence Alexander - Jefferies LLC: And then I guess just secondly, just thinking about the flier perfect this year and then the bridge for next year, Peter, if I understood your comments properly it sounds like it's pretty difficult for Polyurethanes EBITDA to be below $1 billion in 2019?
Peter R. Huntsman - Huntsman Corp.: In 2018?
Laurence Alexander - Jefferies LLC: No, in 2019.
Peter R. Huntsman - Huntsman Corp.: Well, yeah. I would say, I'd really feel more comfortable giving that view on the next call, when we're kind of into the – probably announcing our fourth quarter. At that point we'll be into 2019. I think we'll have a much better view there, Laurence. Am I personally seeing any trends that would keep me awake at night for 2019? No. But, again, we're still in 2018. So it's probably too early to give any accurate assessment on that.
Laurence Alexander - Jefferies LLC: Okay. Thanks.
Peter R. Huntsman - Huntsman Corp.: I do think, Laurence, too, that – forgive me for interrupting, I do think that it's important when we talk about our margins in our downstream differentiated businesses particularly in Asia, but globally more specifically, that we're not seeing an erosion in those margins. That doesn't mean that we're not going see an erosion in the demand for those products, but when we look at the overall resiliency and the pricing and the pricing that we've been able to achieve in those product, I think that's where we're seeing the real strength coming through on that downstream side.
Laurence Alexander - Jefferies LLC: Got it. Thanks.
Operator: Thank you so much. And now we have Michael Sison from KeyBanc. Thank you, Mike, you're live in the call.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Hey, guys. Thought you had a nice quarter. In terms of Polyurethanes when you think about your 2020 goals, Peter, I think, you said you are pretty confident there, you know, 2018 will be pretty close. Maybe just qualitatively, where do you see growth in Urethanes in 2019?
Peter R. Huntsman - Huntsman Corp.: Well, I think that we'll continue to see it downstream. That's where our big focus will be. As I look at perhaps one of our biggest markets that we see here in the Americas, where we see a lot of the expansion is taking place in our Chinese facility. We'll see more tonnage coming into the U.S. So I think that we'll be okay over the course of the next year or so. On the MDI that we will need to satisfy the North American market. But rather than focus on more polymeric and crude MDI coming out of North America, we'll be looking at capital projects and various expansion opportunities over the coming quarters as to how do we further expand our splitting in our downstream derivative businesses in North America. This is where we're going to continue to see our growth. We'll continue to see better than GDP growth in Europe and our downstream applications. And as I said in my call, we've got 365,000 tons of crude MDI capacity in China. We've got more than that. So I mean, in theory, once we build out our MDI downstream facilities in Asia, we'll actually have the capacity to buy crude MDI from other MDI producers, and derivatize that starting at our splitters and derivatizing it from that point forward. So, I see it really on an across the board basis.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Okay. Great. And then when you think about – your balance sheet is in pretty good shape. Any update on how the outlook for acquisitions for downstream MDI assets are, as you enter the fourth quarter?
Peter R. Huntsman - Huntsman Corp.: Well, I think that – there are plenty of opportunities that are out there. And there are plenty of opportunities that we continue to look at. I just want to make sure that as we look at the pricing, and the values of these that we're not getting caught up in that we have to do something right now. I think that valuations continue to be high. I think that they obviously have been coming down in the last quarter. But I mean, as I look at our overall balance sheet strength and as I look at the overall profile of the company, it's remarkable to note that the last time that our stock was trading at this price, about two years ago, and where we are today, I mean, I just tick off – we've got $1.7 billion out of Venator. $1 billion of free cash flow from our operations. We've seen our debt reduce by nearly 50%. We've grown our EBITDA by 63%. So, it's not just the balance sheet as to how much debt we've been able to generate, but also the vitality of the downstream businesses that we've never had before. So, when I look at those opportunities and I look at the opportunities to continue to move further downstream, I see that as being a better opportunity, prices are probably only going to get better for acquisition opportunities. And integration and globalization of those will remain intact.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Great. Thank you.
Operator: Thank you very much. And the next one from Hassan Ahmed from Alembic Global. Thank you, Hassan. You're live in the call.
Hassan I. Ahmed - Alembic Global Advisors LLC: Good morning, Peter.
Peter R. Huntsman - Huntsman Corp.: Good morning, Hassan.
Hassan I. Ahmed - Alembic Global Advisors LLC: I wanted to switch back to the Polyurethane side. Going over your Analyst Day presentation, if I have my numbers right, it seems that around 17% of your Polyurethane sales come from autos. Obviously, the auto markets, new builds have been a bit choppy, particularly in Asia. So, I just wanted to get a sense of, in this quarter, what sort of volumes or volume declines did you guys see from the auto end market within Polyurethanes? Meaning were they in line with the auto build side of things? Were they not as badly hurt? Any sense around that?
Peter R. Huntsman - Huntsman Corp.: Well, I'm going to let Tony comment on that. But as we think of auto, let's think about it regionally and think about it geographically. And let's think about high end auto versus more commoditized lower end auto. And let's think of new builds and let's think of product substitution. So kind of there are four or five different categories that make up the reasons why there would be that growth or lack thereof? Tony, as we look at the automotive sectors around the world?
Anthony P. Hankins - Huntsman Corp.: Yeah, I think, Hassan, the mass market for automotive is clearly stalled. And we saw an announcement yesterday in China whereby the auto tax has been cut from 10% to 5% to try and regenerate that business. That's not where we're positioned. We're positioned in the higher-end automotive, higher end seating, dashboard, steering wheel, sound insulations. And that continues to grow very well. In China, we saw double-digit growth, in quarter three. We continue to see growth in North America. Europe is growing slightly. And, overall, we continue to see very, very good growth in the automotive in those segments that we are focusing on, which is high end, high performance, highly formulated systems that go into creating special effects in those cars. So I'm feeling pretty good about automotive, as we sit at the moment.
Hassan I. Ahmed - Alembic Global Advisors LLC: Understood. Understood. Very helpful. And the follow-up, maybe a question directed to Sean. Sean, obviously we saw some weakening in emerging markets, currencies, and the like. Did I hear you correctly that you said that you really didn't get much of a hit from FX in Q3?
Sean Douglas - Huntsman Corp.: That's a fair statement, Hassan. There was a modest effect from some of those currencies you're talking about. We can talk about the Indian currency. We can talk about the Brazilian real and places like that. But generally speaking, the lion's share of our exposure have been in the euro and on China. In China, we've seen a little bit of an impact as well. But, overall, we hedge a fair amount of what we do. And overall, net-net, we didn't see much effect.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very helpful. Thanks so much, guys.
Operator: Thank you very much. And the next one now from Robert Koort from Goldman Sachs. Thank you.
Robert Koort - Goldman Sachs & Co. LLC: Thanks very much. Peter, you sort of characterized maybe having a different view than some on the MDI markets. I was hoping maybe you or Tony could talk a little bit about the differentiated process route; in other words, everybody has got some crude MDI and then you split it. You have some component pieces that you have to make, but you then take some of the bulk of the rest of the output from that splitter and convert it into differentiated products. Do all your competitors have the same sort of setup? Should we expect that BASF or Covestro, Wanhua, Sadara, all have that same sort of proportion? Or what is it that's unique to you that maybe insulates you or protects you from that more, I guess, ominous view that some observers might have on the MDI markets?
Anthony P. Hankins - Huntsman Corp.: So, Bob, good morning. This is Tony. Let me try and answer that question. In terms of the growth, as you go downstream, the degree of substitution of growth gets higher and higher because those formulated systems are primarily displacing other materials and those end markets that we are focusing on. Therefore, at the component end, that's primarily GDP-driven, but, as we go downstream, it's a combination of GDP and substitution. I think that is what's giving us the continued strong growth that we're seeing in those downstream markets because it's more than just economic growth. In terms of our downstream technology, yes, over the last 5 to 6 years we had invested heavily in processed technology in splitting, in the production of variance and derivatives because that's been our strategy. We have wanted to convert more and more of our crude MDI to those specialty products that go into those formulations that drive those effects. And I think as I look across particularly in China and in Europe, that technology now is extremely well positioned to exploit our move downstream. And as we make more bolt-on acquisitions. As we build more own-built (50:23) systems houses, such as we're building in Northern China, in Taiwan, we just opened one in Vietnam, those specialty downstream MDI products will be consumed captively into those high-growth markets. So, I think that whole value chain, that whole chemical engineering process now is going to be extremely well aligned for our business.
Peter R. Huntsman - Huntsman Corp.: I think adding onto that, Bob, it's just important to note that when you start on that downstream journey, it's not just making the molecules, it's also building the relationships, spec'ing your product in and getting the pricing in place. You'll remember two or three quarters ago we were saying that we're not going to see as much margin as some of our competitors on the run up of component prices because we were electing to lock in prices on a more stable basis rather than enjoy the short term run up. So when we look at some of the downstream businesses like spray foam and footwear, these are areas that are very important to us. We like some of the upstream, not that there are customers that aren't important to us, but Asian appliances for us when we're asked about this, this is less than 1% of our Asian business which is 20%, 17% of our overall business. So it's a fraction of 1%. When we talk about Asian Appliances and Huntsman materials going into Asian Appliances. Low end automotive where we don't have an opportunity for product substitution and to be paid for a higher end. That's just not a focus. That's not to say that there isn't MDI going there. We're just not playing in those areas.
Robert Koort - Goldman Sachs & Co. LLC: Got it.
Sean Douglas - Huntsman Corp.: Bob, just a final comments on that. I mean, the process is that we're always going to have to make polymeric MDI, but our plan there is to take it downstream through acquisitions like Demilec. So that polymeric MDI that we do have to produce in the United States will be wholly consumed by acquisitions like Demilec. And they turn those component commodities into high value, high growth downstream products. And I think that's the real magic of what we're trying to do here.
Robert Koort - Goldman Sachs & Co. LLC: And on an unrelated topic, Peter, there was I guess some ethanolamines tariffs put in place by China on imported product. Do you guys ship any of your stuff over to China?
Peter R. Huntsman - Huntsman Corp.: Not. Certainly not a meaningful amount. I mean, if there's spot opportunities from time to time. But most all of our ethanolamines, they remain in North America. Some of it goes to Europe. But that said, I would say it's an immaterial market for us.
Robert Koort - Goldman Sachs & Co. LLC: Got it. Thank you.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Thank you. And now from John Roberts, UBS. Thank you, John. You're live.
John Roberts - UBS Securities LLC: Thank you. Maybe you could comment on how you see environmental enforcement evolving in China. Whether or not the transition from national enforcement to preventional enforcement, any modifications to 2 and 26? Do you see that affecting your business in China at all?
Peter R. Huntsman - Huntsman Corp.: I think that it's fair to say that everything that we have heard – and, again, we're just now getting into that season where that enforcement takes effect. But I think it will be very similar and perhaps some of the knock on effects will be similar to what we saw this past year.
John Roberts - UBS Securities LLC: And is the Chinese downstream systems market dominated by the integrated producers or is that supply chain disaggregated?
Peter R. Huntsman - Huntsman Corp.: I think it's a combination of the two. Similar to what it is in the U.S. and Europe. If you were to look at our customer or our competitors and if you were to ask me, three or four years ago, John, who our biggest competitors are, I would be telling you that our MDI – fellow MDI producers. If you asked me today who our biggest competitors are, it's other downstream nonintegrated players. And we're seeing more and more where we're bumping up against those. Which is what you would expect as you move further downstream. So, I think we'll probably see much of the same sort of environment in China as well.
John Roberts - UBS Securities LLC: Thank you. .
Operator: Thank you. And now we have Aleksey Yefremov from Nomura Instinet. Thank you, Aleksey. You're live in the call.
Aleksey Yefremov - Nomura Instinet: Thank you. Good morning. Peter and Tony, in the home building-sensitive MDI products, such as wood products and insulation, do you see any slowdown, any sign that customers are destocking or expect weaker demand next year?
Peter R. Huntsman - Huntsman Corp.: Yes, good morning, Aleksey. The – I think, if you look at North American market, we're starting to see some slowdown in new build, in residential construction and the composite woods market. However, on retrofit, things like our spray foam business continues to see strong double-digit growth. So, I think that we have a good portfolio offset from one against the other there. But yes, on – I think on new builds particularly in those areas where interest rates are going up, we're starting to see some slowdown and some destocking.
Aleksey Yefremov - Nomura Instinet: Understood. Thank you. And, Peter, you mentioned your strategy earlier this year has been to lock in some customers in these systems deals. So, skeptics might say that it's just a matter of time before those customers sort of become unlocked. Is this a wrong way of thinking about this? And if so, why?
Peter R. Huntsman - Huntsman Corp.: I think that our experience – yes, it is the wrong way of thinking about it. Our experience would tell us otherwise. Typically, when mills and when customers spec in our product, I think that – to be honest with you, we've never really had an issue with it. I can't think – and I'm looking at Tony here when I say this, I can't think of a major customer that has walked away from a deal that we've had. I mean, they're dependent on us. We're dependent on them. And I like to think that we're all reasonable about economics and so forth. But, again, recently when we had an opportunity to perhaps take volume away from some of these customers and sell it on the open market, make more money on it, we didn't do that. And didn't mean a great deal to our customers, and likewise I think that in seasonally looser times they've got extra pounds or whatever that they're looking to source. They'll lean in the direction of Huntsman. I think that that's why we have – if you look at the page that I think was paged 4 – or excuse me, page 5, where we have the most of our locked-in deals is in the Americas. And look on page 5 of the presentation, and look at the lack of volatility that you see in the red line there. And that really is an indication of the longer term contracts and the solidity of those contracts over time.
Aleksey Yefremov - Nomura Instinet: Thank you.
Operator: Okay. Thank you. And we now have Frank Mitsch from Fermium Research. Thank you, Frank.
Frank J. Mitsch - Fermium Research LLC: Hey, good morning, everybody.
Peter R. Huntsman - Huntsman Corp.: Hey, Frank.
Frank J. Mitsch - Fermium Research LLC: Hey, just a quick housekeeping question. Following your Chinese MDI start-up, how would you characterize the operating rates for Huntsman versus the industry on MDI these days?
Anthony P. Hankins - Huntsman Corp.: Frank, good morning. This is Tony. During quarter three, let me just give a bit more color on that. We ran the plant to validate performance guarantees that we had on the various new technologies on our new China unit. And that's been complete. So we ran the plant pretty hard in quarter three to really test it. All those guarantees have been met. The plant is now fully capable of producing at full rates. So we're now going to match the output of that plant with the demand of the market. So I think that from here on in, we will progressively increase the production of that as demand requires.
Peter R. Huntsman - Huntsman Corp.: And I think as we look at our other sites in Europe, we're running that facility, MDI full out, in the Americas we're running it full out. In Asia, I think that we're matching it to the demand. I think that we're also seeing that same sort of action being taken by other producers in Asia as well. We recently read where one MDI producer there was shutting 400,000 tons down in November and 1.2 million tons down in December on inventory controls and so forth. So I think that there'll be a pretty even balance. And globally, we see supply utilization rates probably depending on where you are. In the Americas, it's going be in the very high 90s. In Europe it's probably going to be around 90% utilization. Low-90s. And in Asia depending on how hard plants are running, depending if there are shutdowns due to lack of natural gas or raw material restrictions and so forth, probably be somewhere in the mid to high 80s. So, globally I think you'd see something that's high 80s approaching 90%.
Frank J. Mitsch - Fermium Research LLC: All right. That's very helpful. And Peter when you were talking about the $37 million spent on share buyback during the quarter, you said that you'd like to see that number higher. However, you were blacked out by various restrictions given the negotiation on Venator, et cetera. What should investors expect out of Huntsman on the share buyback front over the next quarter or two given where the shares are right now?
Peter R. Huntsman - Huntsman Corp.: Certainly more than what we did in the third quarter. And I think, I'll limit it at that just because I've got a lawyer in the room shaking his head at me. And I'll just say that, again, our – my number one priority I would like to see Huntsman divest of its shares in Venator. Now again, I don't want that to be misread that there's a fire sale mentality or anything like that going on. But if we get locked out for a couple weeks or a month or so buying in shares because we have actionable intelligence within the company, or a deal that's pending within the company or something like that, I think that that should take precedent. But other than that, I see our share price today, with just my personal opinion it's at a ridiculously low number and multiple. And we ought to be buying in shares as we can.
Frank J. Mitsch - Fermium Research LLC: Thank you, Peter.
Operator: Thank you. And Matthew Blair now from Tudor, Pickering, Holt. Thank you, Matthew. You're live in the call.
Peter R. Huntsman - Huntsman Corp.: Operator, we typically go for about one hour on these. Given the fact that I rambled on a little longer in the prepared speech part of the presentation and may have put some people asleep, why don't we do one more after this question. And we'll go a little bit past the top of the hour. And if anybody has further questions beyond that obviously they can contact Investor Relations and have a personal one on one opportunity to talk to Ivan. What a treat that would be?
Operator: No problem. Thank you.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning, Peter?
Peter R. Huntsman - Huntsman Corp.: Good morning, Matthew.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: I think at one point you had forecasted the EBITDA contribution from the new Caojing MDI plant to be around $20 million in 2018 and then $85 million at full rates. And given that there's been a ton of moving parts on Asia MDI, I was wondering if you still think of those as good numbers? And also that $85 million, is that a good number for 2019?
Peter R. Huntsman - Huntsman Corp.: I would say that that's a good number as of today. And I will just tell you that as we get into our next conference call a quarter from now for fourth quarter we'll be into February, and we'll certainly be updating where we'll see that performance in 2019. I just feel much better talking about it once we have year-end behind us.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Sounds good. And then should we read anything into the slightly lower CapEx guidance for 2018? This just a timing issue, or are you seeing slowing organic opportunities? And do you have an initial outlook on CapEx for 2019?
Peter R. Huntsman - Huntsman Corp.: No, I think that as we look at the year, we're probably looking at around a $320 million, $325 million number. And that's only a couple million lower than what we had said at the early part of the year. Some of that's just going be in timing on projects and the Gulf Coast continues to be very tight in particular where we have a lot of our maintenance project goings on and so forth. So, some of that's going to spill into next year. But I think that we want to make sure that we spend what we need to on mandatory environmental health and safety. We have a very high barrier for further investments on what I would call opportunistic capital. And so I hope that we're always on the side of caution there.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Thank you.
Operator: Thank you. And our last one for the questions now is Jim Sheehan from SunTrust. Thank you, Jim, you're live in the call.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thanks. Could you comment on the Demilec acquisition? How it's been performing thus far? And, also, with respect to the spray foam markets, some competitors are saying that some pricing actions they initiated had caused some demand destruction in the third quarter. Are you seeing any of that phenomenon as well?
Peter R. Huntsman - Huntsman Corp.: No, in the third quarter, we saw about $7 million for the quarter. I think that as we look into the fourth quarter, we're yet – obviously yet to see where those trends come out in the fourth quarter. But we continue to see good growth and the growth is about where we had expected it to be. And we're seeing good pull through economics there. So I think – our number one priority right now is to focus on the Americas. But we've also started to introduce some of our technologies and techniques into Europe and into Asia with the platform that we bought with Demilec. And that's going continue to be a real focus for us as well. So we look to globalize that business. But, right now, we continue to see the sort of growth that we've talked about in the past.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Ivan M. Marcuse - Huntsman Corp.: Great. I think that concludes our call. I realize we didn't get to many of you that's in the queue. Feel free to reach out to me today at Investor Relations, and hopefully I could answer your questions. Thank you for joining us. We'll see you next quarter.
Operator: Okay. Ivan, everyone, all the speakers, thank you, all of you. That concludes your conference call for today. You may now disconnect. Thank you for joining and do have a good day.